Operator: Greetings and welcome to the Aurora Cannabis Inc. Third Quarter 2025 Results Conference Call. All participants will be in a listen-only mode and a question-and-answer session will follow the formal presentation. This conference call is being recorded today, Wednesday, February 5th, 2025. I would now like to turn the conference over to your host, Kevin Niland, Director of Strategic Finance and Investor Relations. Please go ahead, sir.
Kevin Niland: Hello and thank you for joining us. With me on the line are Miguel Martin, Executive Chairman and CEO; and Simona King, CFO. Earlier this morning, we filed our financials for the fiscal third quarter 2025 period ending December 31st, 2024, and issued a news release containing our quarterly results. This news release, along with our financial statements and MD&A are available on our IR website and can also be accessed via SEDAR+ and EDGAR. For our discussion today, this is as a reminder that certain matters could constitute forward-looking statements and are subject to risks and uncertainties related to our future financial or business performance. Actual results could differ materially from those anticipated in those forward-looking statements. The risk factors that may affect actual results are detailed in our annual information form and other periodic filings and registration statements. These documents may similarly be accessed via SEDAR+ and EDGAR. Following prepared remarks by Miguel and Simona, we'll conduct a question-and-answer session with our covering analysts. With that, I'll turn the call over to Miguel. Please go ahead.
Miguel Martin: Thanks, Kevin. We're pleased to report a record third quarter for medical cannabis revenue, net income, adjusted EBITDA and free cash flow, and sincerely thank our team for making these results possible. Our three-pronged strategy serves as our foundation and guides us forward as we seek to further strengthen Aurora Cannabis over the coming years. First, as the world's largest medical cannabis company, we will continue to leverage our EU GMP and TGA GMP manufacturing facilities, unparalleled scientific knowledge, genetics and regulatory expertise on rapidly evolving global medical cannabis opportunities. Today, we proudly serve patients across multiple countries, including Canada, Australia, Germany, Poland and the UK, with an eye on future opportunities as they emerge. Second, we will work to sustain our medical cannabis margins through operational excellence and our continued focus on this space. And third, we'll look to achieve a steady stream of revenue and adjusted EBITDA contributions and build a track record of positive free cash flow, all while maintaining a strong balance sheet. Our successful execution of the points I just made has enabled us to differentiate ourselves from our peers and achieve the results that we reported today. Here are some highlights from the quarter. Overall net revenue grew 37%, driven by 51% year-over-year growth in global medical cannabis. Within global medical cannabis, international revenue increased 112%. For the second consecutive quarter, international revenue surpassed Canadian medical cannabis, comprising 60% of global medical cannabis net revenue, up 300 basis points sequentially from last quarter. This intentional shift in our business validates how we have capitalized on opportunities across the globe, while still maintaining a stable foundation in Canada. Medical cannabis, our flagship business segment, generated 77% of total net revenue and 90% of adjusted gross profit. And while the majority of growth was sourced internationally, Canadian medical increased 6% and we held on to our significant leadership position. Briefly on Bevo, our plant propagation business segment, we generated a revenue increase of 22% year-over-year through organic growth and enhanced facility utilization. In terms of profitability, net income and adjusted EBITDA both reached all-time highs and we generated $27 million in positive free cash flow, another record. Let's now discuss our cannabis business in greater detail. Our Canadian medical business, which is known for its scientific knowledge and approach to innovation, provides our patients access to a broad selection of superior offerings. Through Aurora Coast, our world-class research and genetics facility, we can harness solutions to provide patients the very best medical cannabis. On that note, we recently announced a series of new cultivars developed at Aurora Coast and grown across our EU GMP and TGA GMP certified facilities. We also partnered with several other Canadian licensed producers to grow our cultivars, enabling us to create more value. Internationally, our largest market after Canada is Australia. We currently have the number two share in this highly regulated market and we are optimistic about our expanded distribution and broadened product portfolio. Turning to Europe. Let's start with Germany, a country that we've been operating in since 2018 and where we continue to maintain a leadership position. Germany has experienced rapid growth since the onset of cannabis descheduling last year as more patients register and pharmacies are, in turn, expanding to support higher prescription volumes. We are determined to maintain a consistent and reliable supply of our high-quality EU GMP manufactured products to our pharmacy partners and we're doing that through our EU GMP facilities in Canada and in Germany. We also recently announced the launch of our first German cultivated medical cannabis product under the brand, IndiMed, manufactured locally, further cementing our commitment to growth in this dynamic market. We strongly believe that the changes in Germany will ultimately reverberate across Europe through expanded acceptance of medical cannabis. Our intention is, therefore, to gain a strong foothold in these emerging countries, through our agility and unique capabilities, including regulatory and cultivation expertise. Let's now discuss two of these markets, Poland and the UK, which both generated record revenue this quarter. Poland is our second largest European market benefiting from patients seeking high-quality medical cannabis. In the UK, revenue increased as a result of our latest product innovations and widened distribution channels. Similar to last quarter and across all international markets, we saw an increase in demand for EU and TGA GMP manufactured flower. This aligns well with 90% of our internal manufacturing capacity being EU and TGA GMP certified. The expansion of our latest genetics offer higher yields and a lower cost per gram to produce, which has given us the ability to significantly increase our output capacity, especially as these new cultivars begin to establish themselves. Now in Canadian REC, while we did see a decline in revenue, this is still an important segment for us as it is where we gain a lot of consumer insights about products, preferences, pricing, among other things, by maintaining an active presence. We also see interactions between recreational sales and medical sales in our home market. Internationally, at some point, environments could evolve from medical to REC, and if so, this would offer us another advantage. We recently announced our latest innovations from our Greybeard, San Rafael '71 and Tasty's brands. With a continued focus on premium science-driven offerings, this expanded lineup represents our commitment to delivering exceptional high-quality, cutting-edge and diverse options to consumers so they can enjoy unforgettable cannabis experiences. So to sum up with only one quarter left to go in the fiscal year, we are pleased to be executing at a high level and intend to finish the year strong through profitable growth. I would now like to turn the call over to Simona for a detailed financial overview.
Simona King: Thank you, Miguel. We had an exceptionally strong quarter, where we reached all-time highs across several key financial metrics. First, net revenue of $88.2 million represented 37% growth, supported by record net revenue of $68.1 million from our global medical cannabis segment. Second, quarterly profitability consisted of record consolidated adjusted gross margin at 65%, 130 basis points higher than last year resulted in record adjusted gross profit at $56 million. Third, adjusted EBITDA grew 316% to a record $23.1 million and this was our ninth consecutive quarter of positive adjusted EBITDA. Fourth, net income was $31.2 million, another record outcome compared to a net loss of $18.1 million (sic) [$17.1 million] in the year ago period. And finally we ended the quarter with $180.2 million in cash and cash equivalents and no cannabis business debt. Now let's go into greater detail. In medical cannabis, our key strategic focus, net revenue rose by 51% to $68.1 million, which consisted of 6% growth in Canada and 112% growth internationally. Medical cannabis comprised 77% of net revenue and 90% of adjusted gross profit during the quarter. This marked an increase from 70% of net revenue and 84% of adjusted gross profit from the year ago period, the result of higher medical revenue and higher medical margins in the current year quarter. The increase in Canadian medical revenue was due to our continued focus on the Canadian patient experience. The commercial collaboration with Vectura Fertin announced earlier in the fiscal year also contributed to this growth. The increase in international medical cannabis revenue was primarily due to the full recognition of revenue in Australia after the acquisition of MedReleaf Australia in February 2024 and the descheduling in Germany. We also experienced higher sales in other European countries. Adjusted gross margin for medical cannabis was 74%, up from 63% in the year ago period, both of which far exceeded our 60% target. Several factors drove the year-over-year increase, including larger revenue contributions from higher-margin markets, sustainable cost reductions and improved efficiency in our manufacturing operations with our shift to supplying the European markets from Canada. Consumer cannabis net revenue was $9.9 million down from $11.6 million in the year ago period, with adjusted gross margins of 26% compared to 29% due to sales of higher-margin products. The year-over-year decline was the expected result of our decision to focus on the higher-margin medical cannabis business. Bevo's plant propagation net revenue increased to $8.9 million, up from $7.3 million in the year ago period, with adjusted gross margins of 40%, up from 28%. This year-over-year improvement is due to a combination of increased plant propagation capacity and product offerings. Recall that Bevo historically delivers lower revenue in the summer and fall months with about 25% to 35% of plant propagation revenue and up to 20% of EBITDA earned in the second half of the calendar year. Consolidated adjusted SG&A increased by 12.6% to $31.3 million compared to the year ago period and supported year-over-year net revenue growth of 37%. Adjusted EBITDA rose to $23.1 million from $5.5 million last year. The record improvement over the prior year period was due to a substantial increase in gross profit resulting from higher net revenue before fair value adjustments required under IFRS. Net income increased to $31.2 million compared to a net loss of $17.1 million for the year ago period. The increase relates to higher gross profit, partially offset with the decrease in other income. The increase in gross profit includes an increase in unrealized gain on changes in fair value of biological assets. Please note that there may be quarter-over-quarter variability on this line item because of these inventory adjustments per IFRS. Our balance sheet remains one of the strongest in the global cannabis industry. We held $180.2 million in cash and cash equivalents as of December 31st, and our cannabis operations are completely debt-free. However, our Bevo business holds $57.9 million in nonrecourse debt that is secured by a significant fixed asset base held at Bevo. Cash provided by operating activities was $28.8 million compared to cash used of $5.3 million in the year ago period. Excluding changes in noncash working capital and discontinued operations, cash provided by operating activities improved by $25.2 million to deliver $13.8 million in operating cash compared to cash used of $11.4 million in the prior year period. This improvement reflects a combination of increased net revenue and improved profit margins. Free cash flow was positive $27.4 million compared to a negative free cash flow of $4.7 million in the year ago period. The $32.1 million increase is due to higher net revenue and contribution margin, along with an increase in working capital of $8.2 million. Let me now provide some thoughts on what we expect for next quarter. Continued revenue growth across our cannabis business supported by year-over-year growth in Europe and Australia. Seasonally higher revenues for Bevo in our plant propagation segment in line with historical seasonal trends. Margins to hold strong and positive adjusted EBITDA to continue while continued spend discipline on CapEx and expected revenue growth will support improved operating cash use. Positive free cash flow based upon the following. First, continued increases in global medical cannabis driven in part by the full recognition of revenue in Australia and growth in our key European markets. Second, operating expenditure and adjusted gross margins in line with previous results and third, disciplined working capital management. Thank you for your time. I'll now turn the call back to Miguel.
Miguel Martin: Thanks, Simona. By any measure, it was a record-breaking quarter, and we think Aurora's future is incredibly bright. I say that based on a few important points. First, several years ago, we made an intentional pivot to align our resources behind the medical cannabis first growth strategy and concentrate on high-margin opportunities outside of North America. Our viewpoint is that the regulatory environments in Europe and Australia are a better fit for us given our core strengths in regulatory affairs and that these countries will be more accepting of medical cannabis in the near-term, especially as US federal legalization is taking longer to materialize. Second, patient access to medical cannabis continues to grow around the world, creating a stronger secular trend where Aurora is a key beneficiary. In our view, the market could easily exceed $5 billion in the next few years and we have an important role to play in that opportunity. Third, we are well positioned versus many of our peers through our first-mover advantage and key capabilities, which gives us a material advantage in existing and new markets. And finally, our focus on profitable business segments and opportunities is matched by our financial flexibility and balance sheet strength. This combination gives us an advantage and allows us to be opportunistic and generate returns that position us to drive long-term shareholder value. And with that, we'd be happy to take your questions. Operator, please open the lines.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Bill Kirk with ROTH Capital Partners. Please proceed with your question.
William Kirk: Good morning, everybody. Miguel, I had a question. Given the inflection in sales here, are you running into any supply constraints in any way or do you still have some room to continue to meet these opportunities and find more growth from here?
Miguel Martin: Yes. Bill, good morning, and thanks for the thoughtful question. I think you raised sort of two points. And first is we feel good about where we are from a supply standpoint. Now supplying these international markets is a bit complicated because of the variety of different regulatory challenges in there. It's not just the certifications, EU GMP and TGA GMP, TGA is the Australian designation that causes some complexities. The other part is the registration process and the testing process. So all of that has to work together and able to consistently supply those four key markets, which are Poland, Germany, Australia and the UK. But we feel really good about where we're at in terms of being able to meet that needs and we think it's a real core competitive advantage for Aurora.
William Kirk: And then if I can follow-up, were there any like unique or opportunistic items, maybe load in, in a particular country that benefited 3Q that just aren't as repeatable in 4Q going forward? Is there any way maybe you could quantify if things like that impacted 3Q in a positive way?
Miguel Martin: Yes. No, Bill, we didn't see anything that was sort of out of the norm. Now I will say, the international markets, because of permitting, they do go a little hot and cold. And I think over a fiscal year, you'll see that smooth out. But there was nothing specific in the quarter that we're reporting that was sort of a onetime or that was sort of out of the norm in terms of what we would see over a broader time period.
William Kirk: Wonderful. I'll pass it along. Thank you.
Miguel Martin: Thank you, Bill. Appreciate the questions.
Operator: Thank you. Our next question comes from the line of Frederico Gomes with ATB Capital Markets. Please proceed with your question.
Frederico Gomes: Hi, good morning. Thanks for taking my questions. Congrats on the great quarter. First question, just on competition in these international medical cannabis markets. We've seen a lot of other LPs trying to enter those markets and export from Canada. How do you see that competition impacting those markets this year? Could it impact prices and margins or not? These markets are growing really fast. So how do you look at competition at this point?
Miguel Martin: Yes, Fred, good morning, and thanks for the question. I think if you compare and contrast North America where you're competing against hundreds of companies, particularly in Canada in the REC business, we don't see that internationally. That doesn't mean they're not some very strong and decent number of competitors, but it is a more consolidated business. And let me sort of take them sort of in order. Obviously, Germany has garnered a lot of attention. But because of the requirements of the EU GMP plus the testing plus the registration process, you do see more consolidation. So as an example, as you well know, in Canada, the top five REC companies don't even represent 50% of the business. And what we see is in most of the big European markets, the top five companies will represent two-thirds or three-quarters of the total business. So it's a more consolidated piece of business. It advantages those companies like Aurora that have made significant investments, both in product innovation and registration and on the ground infrastructure and it is portable. In many cases, what you have to do in Germany, while be a little bit different in Poland, is the same thing. And so I would say the competition is no less competitive, but it is from a smaller group of competitors because it is a different skill set than maybe what you would find, say, in Canada.
Frederico Gomes: Perfect. Thanks for that. Second question is on capital allocation. Now that you've reached the free cash flow positive, obviously, and generating a substantial amount of free cash flow. How are you looking at the balance sheet here, your capital allocation options in terms of growth internationally or maybe in Canada, capacity expansion, et cetera? Just how do you look at the different options that you have in terms of allocating that capital? Thanks.
Miguel Martin: Great. I mean, listen, it's a great question. We've worked incredibly hard to have no debt on our cannabis business. And as Simona detailed, having what we think is one of the strongest balance sheets out there. As you well know, it's a very fluid environment and valuations continue, I think, to get more reasonable. We expect to be able to use that to be opportunistic as the right things come to bear. Now we've also been very cautious and patient, which I think has incredibly benefited us in this environment. And so anything that we would do, we would look to be accretive from a profitability standpoint and be additive to our core competency routes is really medical cannabis. And so I think if you look at our overall path, the way we leverage the balance sheet and what we've done over the last couple of years, I think you'd see more of the same, and we're proud that, that has resulted in the results that we're reporting today.
Frederico Gomes: Thank you. I'll pass it along. Thanks.
Miguel Martin: Thank you, Fred.
Operator: Thank you. Our next question comes from the line of Derek Lessard with TD Cowen. Please proceed with your question.
Derek Lessard: Hey, good morning, everybody, and congrats on a great quarter. I just wanted to hit on your, on the margin side of the business and maybe two parts. Starting with the medical, maybe just add some color around that 74% gross margin performance. And then kind of get a sense of what your thoughts are on the sustainability of that margin. And then secondly, on the plant propagation side, again, strong results there, so I just wanted to get some additional color on the growth.
Miguel Martin: Derek, let me talk a little just broadly about margin and then I'll turn it over to Simona, who can give you some more details on both of your questions. I think unlike, say, Canadian REC, what you see in Europe, which was obviously a huge part of the revenue increase that we had plus the impact on the margin is you don't see as much compression in the medical cannabis space. The wholesale list price or the price in which we sell to our wholesalers dictates the margin downstream, both from them, from a tax standpoint and for our pharmacies, which some would describe as our retailers. So you don't see a lot of sort of intrinsic compression in baseline pricing. And because it's in a pharmaceutical system, while these margins are high for cannabis, they're not particularly high for pharmaceutical. So I don't think you have that structural piece. Secondly, when you have both an insured and a self-payer patient part, you also have a little more consistency in that. And since we operate mostly in premium, in core sections, you're going to see higher margins than you might see, say, in the value segment. But I don't know, Simona, if you want to pick up on that and maybe talk a little bit about Bevo?
Simona King: Yes. So we generally do see higher margins in our medical and especially the international market. So as more and more of our revenue has shifted or has grown in those sectors, that overall contributes to the increased margins we're seeing, not only through the medical cannabis channel, but then implications, total company as well. And we're also seeing operational efficiencies, which has an impact on our cost of goods sold. So that combination of favorable prices as well as managed cost is contributing to our margin here. And we -- to one of your second part of your question, we do expect these margins to continue to stay favorable in the coming quarters. And then in terms of Bevo, what we've seen with Bevo, and keeping in mind that Bevo is a seasonal business, we've seen growth in Bevo from the prior year quarter and we've also seen improved margins in the Bevo business due to increased capacity on the production side. So that's helped our overall total company margins go up as well.
Derek Lessard: Okay. That's super helpful guys. And maybe just one more for me before I requeue. In Germany, now that, I guess, we're about nine months into the descheduling. What are you seeing, I guess, in terms of patient and then sales growth there? And maybe as a follow-up as well. You recently launched the first cultivar. Just wondering if you could speak to any of the potential cost savings in terms of transportation or anything else?
Miguel Martin: Yes. I think, so you're right, we're nine months into the descheduling. The biggest impact has been patient growth. And so their ability to get into the system. And we've seen that continue to grow. One of the problems we have in Germany is there's not strong syndicated data. I don't know, IRI, Nielsen or maybe even some other stuff we see in some other markets. So it's hard to give you an exact percentage of what we're seeing in overall growth. I think it's double-digit. We see it still growing. I think one of the questions connected to that we get is, given where the elections may go in Germany, do we see a real change? We don't. Most of what they've talked about has been on the REC side or the descheduling there. So we see Germany, without giving you precision on the growth, continuing to grow, and we see a small subset of companies being able to take advantage of it. Now as it pertains to the growing in country, we're one of only three manufacturers that have facilities in the country of Germany and our facility in Leuna and we are launching our first cultivar there and we'll be launching many more that will be some of the best in the world from there. I think people are excited about a German grown cultivar being available in that market and other areas. In terms of overall efficiencies, while you do pick up some because of where it's at and from shipping, it is offset a bit by higher energy costs and some of the other COGS costs that we have there. So it's early days for that facility. It's a very small in what I would say sort of emerging facility as it pertains to our global production footprint. And so more to follow on Leuna, but we're really excited about having something in Europe that is GMP that can service both Germany and the rest of the GMP markets.
Derek Lessard: Thanks for that, Miguel. Thanks, everybody.
Miguel Martin: You're very welcome, Derek. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Matt Bottomley with Canaccord Genuity. Please proceed with your question.
Matt Bottomley: Good morning, everyone. Wanted to stick on the sort of the international contribution. Obviously, it's done very well for you guys. And it's something that more LPs and even some of the MSOs are starting to talk about with respect to those opportunities. So I guess, first, and I know you've touched on this a little bit, but maybe sort of two ways to look at it. One is, what's kind of the breakdown on average of sort of innovative products there versus maybe more bulk or flower? I know you guys are more in the higher quality segment of the market. But just trying to get an understanding of the types of products on average that make up your revenues. And then if you could also give any color as to what percentage of your customer patient base there or maybe just your revenues are attributable to patients that have coverage?
Miguel Martin: Matt, well, good morning, and thanks for the question. So let me try to break it down a little bit. In Germany, it's all flower and oil with the exception of a couple of other small products. Similar situation in Poland. The UK and Australia allowed for a broader portfolio. So you do see edibles, you do see vape products and a variety of others. But regardless of the ability to sell those products in Australia and in the UK, the vast majority of the sales in all those international markets is flower. And from that, it's again the ability to get compliant products into those markets that can meet the registration, the stability, the testing and all of it. And so I think as we look at that, you are starting to see some distinction between the value segment and more of where we operate on the top side, which is people willing to pay for that, for this. Now in terms of segmentation, we lack syndicated data in a lot of those markets. The biggest market in Europe is the German market. We are seeing that the fastest growth is happening in the self-payer market. And probably today is the majority of sales, now whether that's 51% or 89%, we don't have that type of precision, but we are seeing expansion in all of that. That being said, the insurance coverage continues to be there and is actually expanding as more and more insurers are getting comfortable with a broadened list of what we call as indications. And so I think to be successful, you have to do both. Now the good news is that a patient, whether they're a self-payer or in the insured segment, want the same things. And the experience that a company like Aurora has with almost a decade of experience in Canada, that really resonates because unlike other markets, this is a patient going to a doctor getting a specific prescription for a specific item being serviced by a pharmacy. And so it really is a much more conservative medical framework that most people are accustomed to. And so a company like Aurora, our history, our approach, our medical first and everything that goes along with it resonates. And that's why you see why we're doing so well in many of these markets. And why a smaller subset of companies, we believe, will be successful long-term in those markets.
Matt Bottomley: Awesome. Appreciate that. Yes, go ahead, sorry.
Simona King: And maybe to add to that, that these are finished goods products, not bulk. And we do believe we have a strong brand reputation in these international markets.
Matt Bottomley: Okay. Got it. And then just a quick one on consumer cannabis. Obviously, not core to the strategy so not a lot of color on it. But I'm just curious on how you look at that segment going forward in the more medium-term. So we're seeing more decreases in that segment as you put more supply into the GMP manufactured products, as you put in your prepared statements. The 26% gross margin, does that flow down to like breakeven on a cash flow if you look at kind of at a four-wall? And if it does, is there any sort of indication from a strategic standpoint, if there's any more investment into that segment or is this just business as usual, focusing on the higher-margin international and focusing on Canada when maybe the regulations change from an adult-use standpoint?
Miguel Martin: Yes. Let me take the first part and I'll let Simona talk about the modeling on the cash flow piece. I think, listen, I give a lot of credit to the Canadian government. A lot of people are banging on them about advancements and the five-year plan and all these different things. Canada has done more on REC than anybody else. The problem right now is it is a real challenge to extract value for high-quality products in Canada. And while that would be a significant issue for any company, since we have the opportunities to take those same finite high-quality inputs and sell them at a significant profit around the world, it makes the decision very easy for us to focus on that. Now Canada is getting better. We are encouraged by some of the actions some of the provincial folks have taken and it's going in the right direction. We've even seen some price increases, including some that we've taken on some of our products. But again when you've got these incredibly high-value articulated finished goods, as Simona mentioned, products that you can sell around the world, you don't do there. Now it's important for us to stay in that market though, because you learn a lot, and there's a lot of innovation, and there is a lot of connectivity between the Canadian medical and Canadian REC market that will exist at some point in other parts of the world. And so that's why we stay there. I mean, Simona, any comments on the modeling of profitability?
Simona King: Yes. I mean as we mentioned, we're supporting our growing global medical cannabis business and prioritizing supply towards that, which are the higher margins. But we're still active in the consumer segment and we continue to focus on profitable growth opportunities. And I would say the change in margins is from the prior year ago period, it's primarily driven by the change in the sales mix and not related to pricing. Pricing compression has been slowing in the Canadian market as we've seen. But again, that's irrational behavior so sometimes it's hard to predict.
Matt Bottomley: Okay, got it. Thanks for all the details guys.
Miguel Martin: Thank you.
Operator: Thank you. Our next question comes from the line of Doug Miehm with RBC Capital Markets. Please proceed with your question.
Douglas Miehm: Thank you. Good morning. Miguel, you did talk about the potential for M&A given better pricing. But you'd really stick to your knitting with respect to the medical side of the business. Is there part of your existing portfolio where you do see a need for a specific type of company or are you talking more about incremental supply for the growth of the market in various countries as they come on?
Miguel Martin: Yes. I mean, Doug, it's a great question. I think first and foremost, we look to invest internally, which we've done. As Simona mentioned, our cost of production per gram continues to go down significantly. So we make a significant investment in what we consider to be one of the best genetics facilities in cannabis, in the West Coast. We've made significant investments in our production facilities to not only align with the EU GMP, but also the expansion of production. And we also invest in markets. Now it's not -- it's just almost a year that we made a significant acquisition to the rest of MedReleaf Australia, one of the fastest-growing markets in the world. And that, I think, is sort of indicative of what we like. We've been with that business in Australia since 2017. So we knew a lot about it. We knew a lot about the team down there and we did that. I think we've worked incredibly hard to have no debt on our cannabis business and have worked incredibly hard to be profitable. So as things come up, and yes we see things from a value standpoint, getting more reasonable as time goes along, we have the ability to be opportunistic, and we will be. I think what I would say is what you've seen us do in the past is probably indicative of what we're going to do going forward, which is continue to be patient, but opportunistic when it makes sense, and continue to grow a profitable global medical cannabis business, which is really what we're best at. And I think that's been our playbook and it's worked extremely well and I think we'll continue with it.
Douglas Miehm: Okay. Perfect. And then as a follow-up, it's more a housekeeping on that taking over of all MedReleaf. But would you be able to delineate exactly what the contribution was from full consolidation in terms of absolute growth this latest quarter versus last year?
Miguel Martin: Simona, do you want to take that one?
Simona King: Yes. I guess one way to think about that is as we have in the prior quarter, so our fiscal year Q2 of 2025, and this quarter, we were able to record the full revenue recognition for the business and as we work through the existing inventory earlier last year. And so that's probably a good way to think about it when you compare it to the prior quarter's period, so in December 2023, where that contribution comes in because of the full revenue recognition coming into play these last two quarters.
Douglas Miehm: Okay. But you can't be more specific than that in terms of a number?
Simona King: That's correct. We can't.
Miguel Martin: Yes, we don't break out the markets like that.
Douglas Miehm: Yes. Okay. That's great. Thank you.
Miguel Martin: Thank you for your question.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Martin for any final comments.
Miguel Martin: Well, operator, thank you very much. And, listen, we want to thank everybody that was on the call today. We are incredibly proud of this quarter, but more importantly, excited about the bright future that Aurora has. We thank everyone, best to all, and we really appreciate your interest and attention to Aurora. All the best.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.